Operator: Please stand by. Your program is about to begin. Good morning, everyone and welcome to eHealth Inc.'s Conference Call to discuss the company's Third Quarter 2024 Financial Results. At this time, all participants have been placed in a listen-only mode and the floor will be open for your questions following the prepared remarks. I will now turn the floor over to Eli Newbrun-Mintz, Senior Investor Relations Manager. Please go ahead.
Eli Newbrun-Mintz: Good morning and thank you all for joining us today. On the call today, Fran Soistman, eHealth's Chief Executive Officer, and John Stelben, Chief Financial Officer, will discuss our third quarter 2024 financial results. Following these prepared remarks, we will open up the line for a Q&A session with industry analysts. As a reminder, this call is being recorded and webcast from the Investor Relations section of our website. A replay of the call will be available on our website later today. Today's press release, our historical financial news releases and our filings with the SEC are also available on our investor relations website. We will be making forward-looking statements on this call about certain matters that are based upon management's current beliefs and expectations relating to future events impacting the company and our future financial or operating performance. Forward-looking statements on this call represent eHealth's views as of today and actual results could differ materially. We undertake no obligation to publicly address or update any forward-looking statements except as required by law. The forward-looking statements we will be making during this call are subject to a number of uncertainties and risks, including but not limited to those described in today's press release and in our most recent annual report on Form 10-K and our subsequent filings with the SEC. We will also be discussing certain non-GAAP financial measures on this call. Management's definitions of these non-GAAP measures and reconciliations to the most directly comparable GAAP financial measures are included in today's press release. With that, I'll turn the call over to Fran Soistman.
Francis Soistman: Thank you, Eli. Good morning, and thank you all for joining us today. In the third quarter, eHealth achieved our revenue and profitability targets, delivered significant growth in Medicare application volume, and completed final preparations for the annual enrollment period. We successfully scaled and trained our agent force, finalized our brand driven marketing materials and made further enhancements to the online consumer experience. We also entered this critical selling season with a pipeline of appointments for new and existing members that was materially larger than it was at the same time last year. We maintained this strong momentum in the first weeks of the AP with call volume and online visits to our platform up meaningfully year-over-year. The early indicators also point to increased effectiveness of our telesales organization as we are converting demand at greater rates compared to a year ago. We stand ready to assist our existing members to ensure they continue to be enrolled in plans that best fit their needs. We are pleased with these early results while recognizing that much of our AEP performance rides in the final weeks and even days of AEP. Before I review our third quarter operational highlights, it is worth reemphasizing the differentiated value proposition that eHealth brings to our carrier partners and beneficiaries. On the carrier side, eHealth delivers quality enrollment volume at scale across our agency and amplify fulfillment models. We supplement these standout capabilities with local market focus and access to actionable data on how carrier plans perform against their peers and which plan features are especially important to beneficiaries as they select coverage. For beneficiaries, we offer among the broadest selection of plans relative to our peers while remaining truly carrier agnostic. We are also differentiated in our delivery of exceptional customer experience. eHealth's expert teams of licensed benefit advisors and rich suite of omnichannel enrollment tools, including our unique end to end online enrollment engine, provide our customers guidance through a complex and high stakes plan selection process in a pressure free environment. With respect to the broader Medicare Advantage environment, some of the key trends we have highlighted over the course of this year are clearly materializing. We've seen meaningful changes in plan benefits and star ratings as well as changes in carrier strategies that are becoming increasingly market and product specific. Our choice model is especially important during a dynamic enrollment period such as such as this one. eHealth performance is not tied to any specific carrier and our key objective is to match each customer with the best possible coverage from the wide selection of national and regional plans we offer. Our value proposition as a trusted, unbiased advisor is resonating with beneficiaries as they evaluate their coverage options as AEP. With an expected increase in consumer shopping, we believe we are well positioned to take market share in an industry with decreasing competitive capacity. At the same time, this environment also necessitates a focus on protecting our existing book of business. To that end, we have introduced several advisor and technology driven retention initiatives which I will describe shortly. Moving now to our annual enrollment period preparations. In 2023, we launched our rebranding strategy and the integrated marketing campaign Your Medicare Matchmaker. These initiatives centered around our customers and delivered significant uplift to our direct channels last AEP. This year we have built on this initial success across every touch point. Our materials reinforce our value proposition while also layering in new messaging that acknowledges the specifics of this enrollment period and highlights our real advisors as consumers unbiased transparent Medicare Matchmakers. During the AEP, we plan to continue growing our key direct branded channels while remaining agile in terms of geographic and channel-based marketing dollar deployments. We are also placing increased emphasis on lead nurturing to better monetize the significant call volume and online traffic that we are seeing on our platform. We expect this integrated marketing strategy to drive better quality and higher converting leads as well as greater brand recognition and loyalty from the members we enroll. Further, our local market approach is especially relevant this AEP as carriers have telegraphed they will be precise in the marketing and benefit structure strategies. In support of that, we have launched messaging targeting areas that are experiencing the most planned disruption year-over-year. Another important area of focus ahead of the AEP was positioning ourselves for greater conversion rates across our omnichannel enrollment platform. The call center side. We successfully reached our hiring goals with an advisor mix that is more tenured relative to last year. Additionally, in Q3 our first-year licensed advisors performed better than the equivalent classes in Q3 of last year, driven by enhanced training protocols and new agent facing sales tools. This AEP we are employing a larger number of screeners than we have in the past. Screeners conduct a preliminary needs assessment and ensure callers are routed to an appropriate licensed agent or our customer service team dedicated to helping existing members. This function improves customer experience by reducing hold times and enhances the efficiency of our licensed advisors as screen calls convert at significantly higher rates than unscreen calls. On our online platform, we continue to advance the personalization and simplicity of the eHealth digital consumer experience. This AEP we expect to benefit from our differentiated tech enabled features such as Match Monitor, Live Advise, which is our one-way video enrollment experience, Licensed Agent Chat, Co Browsing, our proprietary plan recommendation tool and others. eHealth was a pioneer and remains a leader in digital consumer experience when it comes to shopping for and enrolling into health insurance. Given the significant amount of shopping that we anticipate and the back end loaded nature of the AEP, our end-to-end online capabilities represent a significant advantage in absorbing peaks in consumer demand. Instead of waiting on hold, an industry wide phenomenon that is typical during the last days of any AEP but could be especially pronounced this year. Customers can transact on our platform right away using the same plan recommendation engine available to our licensed agents. Ultimately, we are ready to service customers through the enrollment channel that best matches their preference, whether by phone, online or hybrid, and believe we are well positioned to efficiently convert within a wide range of demand patterns. I also want to highlight our retention strategy. With significant plan changes underway, we are laser focused on engaging eHealth customers to ensure their plans fit their individual health and financial needs. In addition to carrying a dedicated team of agents that take calls from existing eHealth members, we are proactively reaching out to current members whose coverage might be changing. Our goal is for beneficiaries to feel supported, heard and empowered to make the right decision for their unique circumstances. Using our data models, we identify members who will be impacted by the upcoming changes and invite them to use our self-service tool Match Monitor. This new tool summarizes lengthy and often confusing annual notice of change or ANOCs, to create a concise summary of key plan changes and features. Match Monitor also provides a short list of alternative plans recommended by our proprietary algorithm and compares these plans side-by-side versus the beneficiary's current coverage. To date, we've seen a strong response to the outreach we have done. Turning to amplify our new and growing carrier dedicated fulfillment model and an important area of diversification. We expect Amplify will play an important role during AEP, supplementing our core agency business with attractive margin and cash payback cycles. Carriers choose Amplify because of our high level of service, strong conversion rates and the deep expertise of our advisor base. In the lead up to the fourth quarter, we implemented learnings from last AEP to deliver even better performance for our carrier partners and their customers. We believe this model offers broad potential for expansion in 2025 and '26 as we continue to add new partners and grow within our existing dedicated arrangements. Last month we reached an important milestone attaining HITRUST Certification, a globally recognized certification that demonstrates an organization's compliance with rigorous security and privacy requirements. Many carriers require that their BPO partners are HITRUST certified in order to serve as an extension of their internal telesales operations and this achievement widens the universal potential Amplify customers. Furthermore, last month we also announced our certification of Great Place to Work, the global leader in workplace culture recognition. This certification was based entirely on information gathered from our current employees about their experience working for eHealth. We see it as a key indicator of the success of our completed business transformation. We know that company culture supports business performance and are deeply proud of this important achievement. As a whole, we are seeing the fruits of the operational, cultural and technological improvements I've been discussing. In the third quarter, Medicare Advantage submitted applications across both of our fulfillment models grew 26% year-over-year. Total Medicare submitted applications, including Med Supp and prescription drug plans grew 22%. Excluding tail revenue in both periods, third quarter revenue grew 9% year-over-year, accompanied by improvement in adjusted EBITDA and GAAP earnings on the same basis. Outside of MA, the Medicare supplement market represents an important option for seniors in areas without robust MA plan offerings as well as for specific socioeconomic audiences. Medicare Supplement could also gain greater adoption in markets where carriers have scaled back their MA benefits this year. As eHealth is focused broadly on Medicare Advantage distribution over the past several years, we've not made corresponding investments in our Med Supp business. This is now changing. Given that Med Supp can be sold year-round, we believe it to be an attractive complementary business area for us. This year we have introduced a dedicated Med Supp sales team, expanded our carrier optimism, and are optimizing our marketing strategies to reach this distinct audience more effectively. During the third quarter, we also launched an end-to-end online enrollment experience for Med Supp customers, an offering that we plan to expand next year. With respect to our balance sheet, we recently reached an agreement with our term lender Blue Torch to extend the maturity of our $70 million loan by one year under slightly more favorable terms, which could further improve depending on the interest rate environment. We continue to work with our advisors towards improving the overall capital structure of our business. In our view, the company has more than sufficient liquidity to continue executing on our strategy in 2025 and 2026, which provides us leverage as we assess our options. In conclusion, I believe this team has positioned eHealth for another successful AEP. I am proud of all the effort in cross functional collaboration which went into this process. Last AEP, we returned to enrollment growth on a profitable foundation after rebuilding our sales and marketing functions and enacting a comprehensive cost transformation program. We are now prepared to build on these achievements by delivering above market MA enrollment growth while maintaining enterprise-wide cost discipline and focused on cash flow generation. With three weeks of AEP completed, we've gotten off to a strong start both in terms of enrollment volume and with respect to our multifaceted plan to serve eHealth's existing members. We look forward to updating you on our full AEP performance during our Q4 earnings call. We will also be meeting with investors at the upcoming UBS Healthcare Conference in Southern California next week. With that, I will turn the call over to our CFO John Stelben. John?
John Stelben: thank you, Fran, and good morning, everyone. I'm excited to have my first earnings call be one where we discuss our continued strong momentum which is reflected in our third quarter results. Our third quarter financial results were driven by strong execution in our Medicare business and continued improvements in our cost structure. They also reflect our investments in AEP preparedness, a major part of our third quarter operations. Third quarter revenue excluding net adjustment revenue or tail was $57.2 million, an increase of 9% year-over-year driven primarily by strong Medicare enrollments and partially offset by a decline in our employer and individual revenue. Third quarter tail revenue was $1.2 million as compared to $12.2 million in Q3 of 2023. Including tail revenue, third quarter revenue was $58.4 million or a 10% decrease year-over-year. Medicare segment revenue excluding tail revenue grew 13% year-over-year. Including tail revenue, our Medicare segment generated $53.2 million in revenue compared to $55.5 million in Q3 of 2023. During the quarter we recognized $1.1 million in positive tail revenue from our Medicare segment compared to $9.3 million a year ago. We also saw a year-over-year improvement of $5.6 million in Medicare segment profitability excluding tail revenue driven primarily by increased application volume and favorable member acquisition costs. Including tail revenue, Medicare Segment loss was $17.9 million reflecting our investment in hiring and training Medicare advisors for our agency and carrier dedicated platforms ahead of the significant shopping volume, we anticipate this AEP. As a reminder, within our Medicare segment we generate two different types of enrollments between agency and amplified fulfillment models. For virtually all of our agency enrollments, eHealth is the broker record, resulting in commission revenue that is booked based on constrained lifetime value estimates at the time of approval and cash collected over the lifetime of the policy. Amplify, our carrier dedicated model, generates a combination of broker of record and fee-based enrollments. For fee-based enrollments, eHealth does not become the broker record. Instead, carriers pay us a one-time success fee for each enrollment in addition to ongoing payments to support dedicated sales teams. As we ramp our fee-based business, it is expected to drive growth in other revenue but will not impact our approved membership metrics. Across both fulfillment platforms, eHealth drove a 22% increase in Medicare submissions year-over-year. Medicare Advantage submissions grew 26%, Medicare supplement submitted applications grew 5% year-over-year while standalone prescription drug plan volume continued to decline reflecting broader market dynamics. As I mentioned, some of that volume is reflected in our reported approved members while enrollments transacted under fee-based arrangements within Amplify flowed through other revenue, which grew 36% year-over-year. Total acquisition costs per Approved Medicare member improved 16% year-over-year, reflecting a 24% decrease in aging costs and a 4% decrease in marketing costs per approved member. As a reminder, second and third quarters are characterized by higher variable costs per approved member relative to Q4 and Q1, as we start to prepare our sales and marketing organization for the upcoming annual enrollment period. This investment is spread over seasonally low enrollment volumes but is already yielding an attractive return for us in the fourth quarter. Medicare Advantage lifetime value is $990 roughly flat with last year's. Persistency on our Medicare Advantage book of business on a trailing twelve-month basis was in-line with our expectations and also in-line with last year's observations. As Fran described, member retention is an important area of our operations and is especially critical during this AEP when some beneficiaries will experience significant changes to their coverage. In this environment, we remain confident in our Commission's receivable asset. As mentioned on previous calls, we regularly assess whether changes in assumptions or evolving trends will result in a change in the estimate of expected cash collections. We only recognize positive adjustments to revenue when it is probable that a significant reversal will not occur. As such, there are significant positive adjustments that have not yet been recognized, including but not limited to our initial constraints. In our employer and individual Segment revenue was $5.2 million with a segment loss of $800,000. This compares to segment revenue of $9.2 million and a segment profit of $4.8 million in Q3 of 2023. Year-over-year decline in segment revenue and profit primarily reflect $2.8 million in lower tail revenue. Improved members also declined off a low base as this business unit continues to undergo transformation. Moving to our operating expenses, non-GAAP technology and content expense declined 4% and non-GAAP general administrative expense declined 8% to Q3 2023. This was driven by our targeted cost reductions, including additional office closures in the first half of the year in-line with our remote first model. With respect to variable costs, non-GAAP customer care and enrollment increased 2% year-over-year and non-GAAP marketing and advertising increased 3% year-over-year, well below the rate of growth in our Medicare submissions. Q3 GAAP net loss $42.5 million compares to $37 million in Q3 of 2023. Adjusted EBITDA excluding tail revenue was negative $36 million, an improvement of $4.3 million compared to Q3 a year ago. Including tail revenue, adjusted EBITDA was negative $34.8 million compared to negative $28.1 million last year. Operating cash flow was negative $29.3 million compared to negative $24.7 million in Q3 of 2023 driven by the timing of certain cash receipts and cash compensation dynamics. As we carried a larger advisory account this quarter than a year ago. Moving to our balance sheet, we ended the quarter with $117.8 million in cash, cash equivalents and short-term marketable securities. This compares to $160.6 million at the end of Q3 2023. As Fran mentioned, we believe we have sufficient liquidity to meet our operational needs for 2025 and 2026. We ended the quarter with total commissions receivable balance of $814 million which compares to $780.6 million at the same time last year. This year-over-year increase reflects the continued growth we have generated in our broker of record application volume as well as the positive adjustments we have recognized over the past year net of cash collections. As a reminder, fee-based enrollments transacted on our Amplify platform do not increase our Commission's receivable balance given that we are paid a one-time success fee. these enrollments are characterized by more favorable cash flow timing relative to our ATC business. As Fran noted, we continue to work with our advisors towards the longer-term solution for improving our overall capital structure of our business. In conclusion, we are pleased with our third quarter financial results and the early read of the AEP data. While we have had a very strong start to the AEP, the most critical weeks of the selling season remain ahead of us. As such, we are reiterating the 2024 guidance ranges that we provided as part of second quarter earnings. You can reference our guidance ranges in the third quarter earnings release and slides posted on the Investor Relations section of our website. I look forward to connecting with our investors and analysts during the follow up calls. And now Operator, please open the line to questions.
Operator: Certainly. [Operator Instructions] And we will take our first question from George Sutton with Craig Hallum. Please go ahead.
George Sutton: Thank you. John welcome to your first call and your first AP. So, I'm curious Fran, if you could quantify a little bit what you're referencing in terms of the larger pipeline early in the AEP and also your ability or what you're seeing in terms of converting that demand at what you're saying is a greater rate than a year ago. Just curious if we can get a little more detail on those.
Francis Soistman: Good morning, George. Thanks for the question. The pipeline, we built a pipeline in 2023, but we put it on steroids this year. And we had greater visibility. Obviously, with the degree of changes that are occurring where either beneficiaries were losing their current Medicare Advantage organization because of a market exit or service area reduction or their plan was withdrawn. We saw a number of PPO plans that have been withdrawn in different parts of the country. So, we know those folks have to make change. They don't have an option. And we certainly don't want them to enter January without having health insurance coverage. So, we went on offense. We, you know, to the extent that we had email addresses, phone numbers, we started a very, a very robust outreach program and we didn't give up on the first call, the second call, the third call, we continued to dial and make other efforts to outreach. That has provided us with an opportunity to hit the ground running come October 15. So, we were able to begin taking care of those needs right out of the gate. So, I applaud the team for outstanding execution. As far as more specifics on I'm not going to provide you a metric. Will have to, you'll have to bear with us. And so, we complete the AEP and prepare to announce Q4 earnings. But you know, we had very significant growth last year. And in the first three weeks of the AEP, we have not only surpassed our internal forecast in a meaningful way, but certainly also the very high base. So again, we're looking at this holistically in terms of our retention and new opportunities. You know, millions of people, current Medicare Advantage members, were affected by plan withdrawals and service area reductions. So, I think there is a greater sense of urgency, higher motivation for Medicare Advantage beneficiaries to shop this year. So, we're being opportunistic in meeting those needs, both with retention and with new opportunities.
George Sutton: So, it's particularly encouraging given what I would have thought early in the season was going to be limited ability to get in front of people given all the political advertising. I'm just curious the rest of the season relative to changes in advertising that you might be doing. Curious if I'll see a lot more of Eve for the rest of the season and would you expect that the AEP could get extended?
Francis Soistman: Okay, let me break those down. You have three very good questions there. As far as the concerns with the national election that we, you know, the industry would have difficulty getting that message through. We've not experienced that, particularly with our DRTV. People have been glued to their TVs over the last few weeks and leading up to last night's conclusions, or I guess early this morning's conclusions. We buy our DRTV on a national basis and a lot of the political messaging advertisements are done on a local market basis. So, we were able to get our message across. If you tuned into, you know, CNN box, you know, we make sure we represent both sides of the aisle in our outreaches. You would have seen us. Those messages, we all get calls from our family members when they see us on TV. So, we know people are watching. All of our channels right now are performing above our expectations, leading to lower cos, higher conversion rate. So, we're generating quality leads. That's really, you know, it's success against success and it invokes more confidence with particularly our less tenured agents. You know, they're, they're enjoying success in closing customers, which I think is going to serve us well through the balance of AEP and into January's OEP. I can't tell you anything new as far as whether, you know, CMS will grant an extension or offer a special enrollment period. I stay reasonably close contact with key people at CMS. I'll be outreaching to them in a follow up to a meeting we had in person a few weeks back, just giving them some, some metrics in terms of what we're observing. We have a very transparent relationship with CMS and it's not uncommon for them to either confirm that they're seeing similar kinds of higher volumes with their call centers. So, my guess, though, George and I don't have any inside information, but my prediction would be if there is to be a special enrollment period, CMS would not likely communicate that until after Thanksgiving as we get closer to the end of the AEP December 7.
George Sutton: Gotcha. Just one other thing for John, if I could. We saw you had reduced the constraint recently and you saw your tail revenues come in much more limited than in the past. Is this, do we feel really good about the constraint change we made? Are we going to see relatively small tail revenues ahead?
John Stelben: Thanks, George. You know, I think we continue to analyze our performance volatility and the LTV trends that we've seen over time, and we remain confident the change that we made was the right change. Yeah, when we analyzed it, we did have a range of various outcomes and we actually, we chose the conservative route and booked more at the lower end. So, there was opportunity to actually take the constraint down lower. You know, we considered the current environment how we chose our constraint and we maintained the appropriate level of conservatism in our process. You know, when we look at our tail, you know we have over $200 million accumulative cumulative positive tail over the since the adoption of 606. And we've seen 26 out of the last 27 quarters since the adoption that we said positive tail adjustments. Again, we do feel very confident we make sure that we're staying compliant with our 606 guidance.
George Sutton: Beautiful. Thanks guys. Appreciate it.
Operator: Thank you. [Operator Instructions] And there appear to be no further questions at this time. I'll turn the call to Fran for any closing remarks.
Francis Soistman: Thank you, operator. Well, I imagine many on the call this morning had a very late night, so thank you for joining. I really appreciate that. As we close out this third quarter, I'd like to reiterate our commitment to delivering long-term value and navigating this dynamic environment with resilience and focus. eHealth's transformation journey and business performance progress has been nothing short of remarkable and I remain optimistic about our ability to sustain this momentum through the end of this year and throughout 2025. None of this would be possible without the strong management team and our employees who have contributed to achieving a healthy and vibrant workplace. We're laser focused on achieving a successful AEP, further enhancing the capital structure and unlocking shareholder value. The stage is set for continued success in 2025 through core MA strength and our exciting diversification initiatives. So, we appreciate the continued support of our shareholders, partners, our employees as we drive forward on our strategic priorities and we're confident in our path and remain committed to executing on our goals for sustained, profitable growth. So, thank you once again. We look forward to updating you on our progress in the quarters ahead.